Operator: Good morning, and thank you for participating in the First Quarter 2012 Earnings Conference Call of Melco Crown Entertainment Limited. [Operator Instructions]  Today's conference is being recorded. I would now like to turn the call over to Geoffrey Davis, Chief Financial Officer of Melco Crown Entertainment Limited. 
Geoffrey Davis: Thanks, operator. Good morning, everyone, and thank you for joining us today for our first quarter 2012 earnings call. On the call with me today are Lawrence Ho, Ted Chan, and Ross Dunwoody. Constance Hsu is the line from Macau.
 Before we get started, please note that today's discussion may contain forward-looking statements made under the Safe Harbor provision of federal securities laws. Our actual results could differ from our anticipated results.
 I will now turn the call over to Lawrence. 
Yau Ho: Thanks, Geoff. Hello, everyone. In the first quarter of 2012, we delivered record EBITDA and EBITDA margins on both in actual and hold-adjusted basis. Our EBITDA during the quarter grew by over 100% year-over-year to USD $243 million on net revenue growth of 27%. The impressive EBITDA flow-through is a testament to the strength of our mass market operation, particularly at City of Dreams, which continue to drive group-wide profitability. 
 At City of Dreams, our mass market table games revenues grew 78% on a year-over-year basis compared to the overall market, which grew at 39%. On a sequential basis, City of Dreams mass market table games segment grew at 19% compared to market growth of 7%. 
 City of Dreams is now the second-largest mass table gaming revenue property in Macau with market-leading win for mass table, demonstrating the success of our focus on this segment. This is an impressive achievement given our flagship property has yet to reach its third year anniversary. 
 Market-wise, the mass market table game segment continues to outpace the overall gaming market, reinforcing our confidence in our mass focus strategy. Even considering this impressive market growth, we have increased some market share in this segment. We continue to focus on maximizing table yields, ensuring that our most valuable resource is allocated to its best use. 
 More than that is in the rolling chips or mass market segment or between City of Dreams and Altira Macau. Our growing chip volumes reflect the effect of this transitional redeployment of tables, particularly at Altira Macau. 
 As part of this strategy, we recently opened 3 new fixed junket rooms at City of Dreams, which we believe will start to contribute to our results from the second quarter of 2012. We are also upgrading and improving our gaming and non-gaming facilities, ensuring that we continue to cater to our increasingly discerning and loyal customer base, securing our competitive position at the high end of the market. 
 Earlier this month, we opened our new premium mass gaming and entertainment area at City of Dreams, delivering to our key customers a customized and luxurious gaming experience, solidifying our dominance in this key segment and setting a new standard for premium gaming in Macau. 
 We also continue to refine our management structure, as highlighted by the recent management streamlining initiative. Ted Chan has assumed the role of Chief Operating Officer, which will further facilitate the integration of our gaming and non-gaming operation, unlocking both revenue and cost synergies across our entire operating portfolio. 
 Macau continues its evolution into Asia's leading leisure and tourism destination with an increasing array of gaming and non-gaming attraction, specifically in the Cotai region, providing incremental growth drivers from Macau's tourism industry. Our significant exposure and enviable locations within Cotai places us in a position of strength to fully realize the benefits of this shift in the gaming market to one focused more heavily on the mass market. 
 Visitations to Macau continues to grow with broadening visitation demographics being driven by Macau's improving and diverse gaming and non-gaming attraction. This increasing desire to visit Macau is well supported by the rapidly developing transportation infrastructure network throughout China, which has improved connectivity to our most important target market through improvements such as the inner-city and high-speed rail network throughout China. 
 Hengqin Island's comprehensive development plan provides further evidence of the local and mainland government support for the development of the region. With the potential for a significant increase in penetration, a supportive infrastructure development pipeline, as well as economic growth and increasing prosperity of our major theater market, we believe the future of Macau is well supported. 
 In relation to Studio City, we continue to work with the government to bring this project closer to realization. We're respectful of the government process and continue to cooperate with the authorities to move things forward. We remain optimistic that we can restart construction towards the end of this quarter, subject, of course, to government approval. 
 So back to Geoff. 
Geoffrey Davis: Thanks, Lawrence. We reported adjusted EBITDA of $243 million in the first quarter of 2012 on approximately $1 billion of net revenue. This compares to first quarter 2011 EBITDA of $121 million in net revenue of $807 million. EBITDA margin in the first quarter of 2012 was approximately 24% compared to 15% in the same period a year ago. As mentioned by Lawrence, we have delivered meaningful year-on-year growth in our mass market business. 
 During the quarter, we increased our group-wide mass table GGR market share by over 100 basis points to 12.5% through a combination of strong volume growth and significant improvements in mass table home percentage. Our mass table hold percentage at City of Dreams in the first quarter of 2012 climbed to over 28%, representing a significant improvement from 23% in the first quarter of 2011 and 26% in the fourth quarter of 2011. We believe this mass table hold level is sustainable and reflects various initiatives to drive our hold percentage. As a result of these successful initiatives, we now expect our mass hold percentage at City of Dreams to be in the 25% to 30% range. 
 Assuming that we held a 2.85% across our entire rolling chip business, our first quarter EBITDA was approximately $210 million, up from approximately $200 million in the fourth quarter of 2011 and $175 million in the first quarter of 2011. This marks the 11th consecutive quarter of improving EBITDA on this basis. This sets a new record at hold-adjusted EBITDA for our company, as well as a record hold-adjusted EBITDA margin of 22%, which compares to approximately 21% in the fourth quarter of 2011. This improvement in margin is attributable to the strength of our mass market business and operations together with strong cost control. The EBITDA contribution from our non-VIP segments continues to increase and now represents almost 75% of hold-adjusted EBITDA at City of Dreams and approximately 2/3 of our hold-adjusted EBITDA on a group-wide basis. 
 As a result of our strong operating cash flow, our net debt to shareholders' equity is now 15% at the end of the first quarter of 2012, down from 24% as of the fourth quarter of 2011. Our net debt is approximately $510 million compared to approximately $800 million at the end of 2011. 
 As we normally do, we'll give you some guidance on non-operating line items for the second quarter of 2012. Total depreciation and amortization expense is expected to be approximately $90 million to $95 million. Corporate expense is expected to come in at $18 million to $20 million, and net interest expense is expected to be approximately $23 million to $25 million. 
 That concludes our prepared remarks. Operator, back to you for the Q&A. 
Operator: [Operator Instructions] Your first question comes from the line of David Bain from Sterne Agee. 
David Bain: Guys, one of your competitors recently reviewed their Cotai project plans, and looks like they're upping their budgets fairly significantly. I guess the question is, is the $1.9 billion in CapEx projection related to Macau Studio City? Has that been scrubbed recently? I know it's probably constantly tweaked. But do you anticipate any potential significant changes from the $1.9 billion? 
Yau Ho: David, it's Lawrence here. Yes, our $1.9 billion budget for Studio City remains. We have a very good team of development and design individuals, and we've had our outside quantity surveyor take a look at it and those -- the patches that are currently out with the big bidders right now in terms of the construction companies. So far, we haven't had any pushbacks. So I think the budget that we have been working along is a very good one. And as we said on the very last call, our Q4 call, the design was effectively complete, and so I think our budgeting on that front was quite accurate. So do you want to add? 
Geoffrey Davis: No, nothing for me on that. From a design and construction budget, the $1.9 billion still is intact, Dave [ph]. 
David Bain: Okay. Great. And then slot handle at COD, that was up 21% sequentially. Were there some tweaks made to the slot floor or any anomalies? It looks like the adverse slots actually went down sequentially. 
Geoffrey Davis: David, we've had a little trouble there with the quality. Can you repeat that question, please? 
David Bain: Yes -- no. I was just looking at the slot handle at COD. It was up fairly significantly, sequentially 21%. I'm wondering, we've heard about different table conversions and changes, and I'm wondering if there was something done to the slot floor -- to help push that increase or if this is a good run rate going forward. Looking at slot handle, if there was something different during the quarter? 
Ying Tat Chan: David, this is Ted. In COD here, we are doing pretty well in the mass segment in 2011. Well, stepping into 2012, we are looking at the VIP segment of the slot offering. And then you might know that the performance in the Peninsula is very good in terms of that segment. So we try to look at that, and we put a lot of our efforts in align with the product offering, as well as the sales force. So basically, I think it's because of the increased tension in the area that improves that perspective. 
Yau Ho: Yes. Dave, it's Lawrence here. Let me just reinforce Ted's comments. As you know, we done very well on the premium mass and also on the higher-end mass segment. So I think there's a lot of synergies between the premium mass and the high-limit slots -- the VIP slots area. So yes, at the end of Q4 last year and leading into Q1 of this year, Ted and his team has done a lot of work on those fronts. So I think there are more upside to those, and it was on recently opened premium mass area that I talked about in the prepared remarks. There's also a climb in the slots area that has been very well received and has been -- our customers have been very complimentary in terms of the innovation that we put into that area. 
David Bain: Okay. Great. And then just last one for me, if I could. Do you still anticipate a Skywalk between Cotai Central and COD? And if so, is there a time line on getting started with that project? 
Yau Ho: Yes. It's Lawrence again, Dave. We are looking at that. But I think that part of Central -- as you know, Sands Cotai Central’s opening is a Phase 1, and that part of it and that level, there's actually nothing there right now. So we're kind of slowing down on that part of the Skywalk. But we are in active discussion with the Venetian about building the Skywalk between City of Dreams and Venetian, and that is progressing along. 
Operator: Your next question comes from the line of Cameron McKnight from Wells Fargo. 
Cameron McKnight: Just a question on the table cap, Lawrence. Now that the cap is enforced, how are you guys thinking about the allocation of tables across your properties and between mass and VIP? 
Yau Ho: Well, I think I'll probably get Ted to add more color later on, but with the table cap, we've been on a table optimization and using up the table drive probably for the last 3 or 4 quarters. I think even 1.5 year or so ago, we talked about that. We were hitting an equilibrium point in terms of how well our mass tables were doing versus VIP because if you look back probably 2 years ago, it was a no-brainer. Just give the tables to the junkets and ask them to roll a certain amount for months. I've seen some of the results announcement from our competitors, even recently, and that seemed like a common theme. But for us, we would much rather keep those tables to the higher-margin mass business. I think right now, that process is ongoing. But I think, if anything, there is a bit more tables being shifted between Altira and City of Dreams. Ted, do you want to add a little bit more color? 
Ying Tat Chan: Yes, Lawrence. Cameron, I think we are so disciplined in terms of the EBITDA enhancement and profitability enhancement, not only in between property, but also in different segments. And I'm sure you all know that the potential is really on the Cotai side. So we'd like to shift some of the greater potential improvement in COD side. So we decided to move some of the table from Altira, particularly in the junket and VIP side, to COD. Across the last quarter and the first month of this quarter, we moved probably about 15 to 20 tables from Altira to support the expansion in VIP side in terms of VIP. We continued to look at that discipline in terms of EBITDA enhancement in the table side. We opened up our new Signature Club in COD in Grand Hyatt side, and it's very, very great received by the customers. So we continue to monitor the situation and see what the potential will be in the future months. 
Cameron McKnight: Great. And a follow-up, if I may. Lawrence, now that Cotai Central is being opened for all of -- for almost a month, can you comment on, I guess, some of the impact or some of the effect that you've seen post that opening? 
Yau Ho: Well, Cameron, I think Sands Cotai Central, again, is Phase 1 of a 3-phase opening. So it's a limited offering at this stage. And even with the limited offering, we have seen a uplift in terms of visitation in the City of Dreams. So I think the clustering effect and the moving of the center of gravity from Macau Peninsula to Cotai, and even more specifically, to the Cotai Strip is meaningfully happening. So we can't wait for the future phases of Sand Cotai Central to open because I think when they're fully open, it's really going to drive significant visitation, especially to the Cotai Strip area. 
Operator: Your next question comes from the line of Anil Daswani from Citigroup. 
Anil Daswani: A couple of questions for me. First, Lawrence, could you comment at all about how the ramp is going to the new mass, premium mass segment that opened at the Grand Hyatt that you've talked about in your prepared remarks? Is that shifting the mix materially in the second quarter? I know you mentioned that 75% of EBITDA in the first quarter came from the mass segment. Do you expect that to continue to rise with more mass being added? 
Yau Ho: Anil, it's Lawrence. Thanks a lot for your support. Maybe I'll get Ted, who can provide more color on that. 
Ying Tat Chan: Yes. Anil, well, I think you mean the Signature Club reallocation from the front house side to Grand Hyatt side, which is twofold. First, I think we see a very great depth in the market so that we could further focus on one segment which is the high-end of premium mass, which we see a great potential that we continue to invest in. Secondly, I think it's more on the part of alignment of the room products that we have. So we align more Grand Hyatt rooms to our high-end premium mass segment. So continuing to do, so we anticipate an improvement in hold percentage. And also, we sell to some of the length of stay for this segment customers. As I said earlier, I think we will like to monitor closely on the productivity in terms of EBITDA productivity per tables monitoring going forward. So we continue to monitor in terms of the potential that we will be allocating more tables to the high-end margin business in there. 
Anil Daswani: Just one other question on Studio City. Obviously, the guidance is still that one is anticipating to get all the approvals, all the Is started and the Ts crossed by the end of this quarter. Has there been any change to your guidance with regards to completion schedules? And in addition on Studio City, given how strong the balance sheet is now looking with net debt coming under control, can you confirm that you're not looking at equity as a means to raise capital for Studio City? 
Yau Ho: Anil, it's Lawrence. I'll answer the first part of your question. I'll hand it over to Geoff for the second part on the financing of Studio City. Studio City, we haven't wasted any time. It's progressing along. We've really had time to fine-tune the design and also work with contractors. At the same time, similar to the guidance we gave on the Q4 call 3 months ago, we remain very respectful of the government processes. And I think our approval process is somewhat different than some of our competitors, like Wynn or Galaxy or even as SJM, MGM in that Studio City project will be in existence for quite a while. And that's why rather than going into the complicated various stages of processes, we will only make an announcement when we actually get the construction permit to restart. So we're still optimistic that we can get that, get to restart near the end of the first half. And it's also no secret that the -- we've done quite a bit of site preparation work as we speak. And pictures have been taken of the site recently. So we're ready to go. We're just waiting for the government to, as you said, dot the Is and cross the Ts. So I think our timetable remains the same. So from when we start construction through the end of construction, we're still expecting about 3, 6 months. So we're confident that we're still within the previously guided time line. So we're fingers crossed. Hopefully, we get the construction permit sooner rather than later. And I think on the financing of Studio City, I'll hand it over to Geoff. 
Geoffrey Davis: Yes. Anil, we can confirm that we have no plans to raise equity in either Hong Kong or New York or the U.S.
 [
 :p id="-1" name="Operator" /> Your next question comes from the line of Billy Ng from Bank of America. 
Billy Ng: Basically, I have 3 questions. So for the first one, just curious, from Macau Studio City, would you make a big announcement before you break ground or you would just start as soon as you got the approval and then think about -- or maybe later to think about a proper timing to announce it? And the second question for that is also in terms of the design, it seems your peers are focusing on either retail or convention space for the next project in Cotai. So, like, what will Macau Studio City be focusing on in terms of the non-gaming offering? And then for the last question I have is, like, looking at your balance sheet, it, undoubtedly, is improving. And just wondered, will it be a possibility that you can handle Macau Studio City and potentially some other opportunities overseas at the same time? 
Yau Ho: Billy, it's Lawrence. I'll take the first 2, and I'll hand over the capital structure question to Geoff, as the third one. I think the first 2 -- your first 2 questions are actually interrelated. And we're still contemplating whether to hold an event or not. But again, I think we tend to try to do stuff in a more low profile and humble basis. So we'll probably try to get moving first before -- but we do have some announcements to make because, obviously, since we took over the property, we've made significant design changes. And so we would like to share that with the investment community and also the greater public as well. I can give you a little bit of color in terms of the theming. I think contrary to the previous owner's design, Studio City, I think we've really taken -- Melco Crown has always done very well on entertainment propositions. You think about The House of Dancing Water and The Bubble and the various nightclubs that we have. So we're really taking the Studio City as a movie concept to the next level with Macau Studio City as theming and also as our attractions and non-gaming amenities. So in due course, we will announce all of those together with potentially the restart of construction. But we're still contemplating when that event will take place, if it's just -- and what format it is in. Let me hand it over to Geoff to talk about the overseas and how that would impact our capital structure. 
Geoffrey Davis: Thanks, Lawrence. Given our existing balance sheet, our existing cash position and our future cash flow, we do have the capacity to consider additional projects, whether they're inside or outside Macau. That said, the focus clearly right now is on Studio City. And we'll evaluate any other projects that come our way down the track. As far as development outside of Macau, I think the timing there is still somewhat unclear and probably not anything imminent. 
Billy Ng: Can I have a follow-up question? Let's say assuming the Philippines is a possibility to do some joint venture there? Like how much investment you can put in, let's say, a year from now or 2 years from now? Or are you guys considering Philippines as an opportunity at all? 
Yau Ho: Billy, it's Lawrence. And again Melco Crown is focused -- between Melco Crown and Melco Crown, we're focused on Asia. So anything within Asia, we would look at. But as we have previously guided, we are more interested in the larger and more stable jurisdiction. And of course, Philippines is a very quick up-and-coming market. So again, this is too hypothetical in terms of what happens in a year. And there could be variants -- when we talk about joint ventures or stuff like those, it's kind of hard to answer. But I think what Geoff said is right -- our main focus right now is on Studio City and getting Studio City off the ground. Hopefully, we'll have some assistance from the government sooner versus later. So that's kind of -- we're a very focused group. And right now, that's our #1 priority. 
Operator: Your next question comes from the line of Aaron Fischer from CLSA. 
Aaron Fischer: Actually, my questions were already answered. But maybe I just can ask a more specific question on the potential dividend. Has anyone of your shareholders in particular expecting maybe a significant dividend to be paid at some point for other opportunities that might be looking at around Asia, the Asia-Pacific market? 
Geoffrey Davis: Well, I think given the strength of the balance sheet, that, down the track, might be an option for our board to consider. But right now, given the focus on Studio City and the potential for City of Dreams and potentially other projects, that it's hard to gauge the timing of that. 
Yau Ho: So I think -- Aaron, it's Lawrence here. I think at the board level, we've discussed this, and I think ultimately, and even before we undertook Studio City in the middle of last year, we had a long chat at the board meeting about we could have paid the dividend this year if we didn’t undertake that project. But I think the development is just so amazing in Macau that it was too hard to pass up because how often can you be -- operate and be lucky enough to operate in the biggest market in the world and still the fastest growing? So yes, definitely, if the other jurisdictions, they'll open up in time and we have the ability to pay a dividend, I think on behalf of the 2 principal shareholders, we'd love for that to happen. 
Operator: Your next question comes from the line of Praveen Choudhary from Morgan Stanley. 
Praveen Choudhary: Obviously, very good results. I have 2 quick questions. The first one is regarding Cotai projects, Studio City. 6 months ago, when you mentioned and you bought this project, we were not looking for 3 competing projects to complete around the same time in 2015 and '16. So not only in the number of tables that will be completed, but construction workers, you will have to compete with them. Do you have any color to give us that while you're competing on construction workers, you will be able to get enough of them? And also, number of tables? 
Yau Ho: Yes. Praveen, I think we've -- I think similar to the 2 other operators who recently -- whether they got the land grant -- again, the exact process in the construction is going to be different because even after land is granted, it's very complex. You still have to get your designs and piling, foundation designs approved. So again, I think the government will continue to follow what they have told us in the past, which is they're going to stagger these projects. And they obviously don't want a repeat of what happened in 2007 when you effectively had 4 casinos, major resorts opened in the same year, thereby causing a bit of chaos in terms of the society in general and also on the labor sector. We have had a lot of communications, not just with the main senior leadership of the government, but also on the working level. And we have been assured time and time again that they will process, whether foreign labor quota, but of course, subject to us meeting the rules of the games. So in terms of construction schedule, we're not concerned. And obviously, with Studio City, the previous owners had put in significant foundation of piling work, which does give up quite of few months of head start from that basis. So I think the government has told us that the current unemployment rate in Macau is 2%. So when there's a need for workers, they will do the right thing and allow more foreign labor to come in to help out in the development of the city. And on your question about table cap, again, I think the government has been very transparent in terms of communicating that their view is that 3% a year for the next 10 years. So they're very clear and transparent pipeline from now until 2022, that -- there's going to be an additional of approximately 2,000 tables. But the government has also said that they are -- they will -- when these properties open, and of course, they're not going to open from 2017, 2018, so they could create -- allocate those tables. So as long as they meet that 3% per annum increase until 2022, it's probably doable. So again, I think we've all gotten the necessary assurances. 
Praveen Choudhary: Sure. We still struggle to give the -- or get an idea who will be first to complete and who will have to postpone until 2016 and '17, but we will keep coming back to you guys on that later. The second question I would have is in terms of competition that you're seeing both in the mass segment and the VIP segment. Maybe you are doing pretty well, so maybe you are not seeing it. But can you talk about, in general, in the market, now that the growth rate has slowed down somewhat to 15%, 20%, and a lot of that is coming from Sands, so there’s may not be growing that fast. Have you seen any pressure in terms of either the marketing costs, promotion costs in either mass side or VIP side, if not for yourself, for your competition? 
Ying Tat Chan: This is Ted. Maybe I should respond to your question on that. First of all, let's talk about the VIP segment. I think especially in Cotai here, we are no longer in a competing, like in the past, in the pricing of credit side. I think we are more focused on differentiation, as well as the surface and the quality of the property. I think that's what happened, particularly with the new supply in the first quarter or late fourth quarter last year. In terms of mass, well, you see some changes in the market. But in particular, in our company -- bookings before the company, in COD here, we do not see winning a significant increase or whatever in terms of that mass market. That's basically we focus pretty much on the right segment of that market. As I've mentioned earlier, I think we are quite amazed with the depth of the market, particularly mass side, that we identify this segment to be focused. So in our case, we do not see any increase from the first quarter this year compared to last quarter last year. 
Praveen Choudhary: That's very helpful. And any indication on bad debt numbers? I know this is a great quarter, so not to ask about it. But I just want to make sure that there's no escalation of either bad debt or account receivable increase. 
Geoffrey Davis: Well, you can see that we actually had a sequential year-over-year decline on our receivables, Praveen. And our provision was roughly flat, with where it's been trending for the last few quarters. We're not seeing, in our premium direct business, any change in collection cycles. And we're not hearing about any change from our junket partners. 
Operator: Your next question comes from the line of Grant Chum from UBS. 
Grant Chum: I have a few questions. The first one is on the VIP side. I think you already discussed some of the issues with Altira in the last conference call and looking to improve the yield and reallocate some of the tables there. But just looking at City of Dreams on the VIP side. I mean, there was a 6% sequential decline in the volumes. I think that is worse than the market. So I was just wondering, can you help me understand the drivers behind that? Is it because of certain operators in the property doing worse? Or is it just the general effect of keener competition? Or do you attribute just to the market backdrop? 
Ying Tat Chan: Grant, it's Ted. I think on the COD side, you might see that in the last quarter or late last quarter last year, there are some additional supply in the market, particularly in Cotai. And these supplies are all new and upgrade supply. So I think that resulted in some slowdown in COD volume in terms of VIP, rolling chip perspective. But also, you might also notice that in the first quarter and in April this year, we continue on the renovation part of it. So we responded to market by improving our quality of the property. We are actually the last one in the free property in Cotai in terms of the -- how new in the property it is. So we feel that it is the right time that we have to do some renovation work. So I think that's a combination of these 2 factors resulting in a slight reduction in the rolling chip volume. But you'll also notice that we have 3 new fixed junket operator operating by either late March in early second quarter that will be resulting in a better improvement in our rolling chip volume in COD in second quarter. 
Grant Chum: I see. And my second question is on the development side, perhaps a question for Lawrence. I mean, your net debt is coming down very fast, as already mentioned by another questioner. I mean, why wouldn't you move ahead or tower on COD more rapidly? I mean, given that's a relatively small investment versus a new project and given that COD mass is doing so well, by the time that tower gets finished, the timing could be very, very opportunistic by 2016. I guess that whole area will be even better. So why wouldn't you think about moving ahead with an additional tower? 
Yau Ho: Grant, it's Lawrence. You're absolutely correct. We're actually looking at that. And certain submissions have been made to the government. And at the same time, it's been designed as an -- I think it's in detailed but conceptual design phase. So it's ongoing, but I think from our planning purposes, we want to make sure that Studio City gets off the ground first because ultimately, the balance sheet and also the capital structure of -- ultimately, what happens with Studio City also has an overall impact on Melco Crown Entertainment as a group. So we are doing the things -- the things that we do are in parallel we are. But I think the preference is still to get Studio City off the ground first. I don't know if -- Geoff, do you want to add any color to... 
Geoffrey Davis: Yes, that's correct. We certainly don't need to wait until Studio City is complete before we consider commencing the construction on Phase 3. But -- and the pecking order is clearly Studio City first and then Phase 3. So we are looking to expedite that process to some degree. 
Grant Chum: Okay. And Lawrence, I mean, sorry to push you on this, but in terms of the process of getting the permits to restart on Studio City, I mean, do you need the line concession to be regazetted with the new terms? Or do we understand this process slightly differently to perhaps some of the other applications? 
Yau Ho: Yes. The process is different. But ultimately, just to put things into perspective, City of Dreams has been regazetted 4x. So every time you make a change to the design of the property or you want to shift GFA around from, say, the hotel tower to the podium or the podium to whatever, including the Hard Rock Café, because half of it is in the casino and half of it is in the hotel tower, you have to go through a regazzeting. So regazzeting is just one part of the process. And again, I like to say that our process works kind of differently from other people because the land, unlike, for instance, the Wynn land that was granted to them last week, the Studio City land was granted to the previous owners of that property 11 years ago. So there's significant difference and it will get very complicated. And that's why unlike some of our competitors, we don't want to issue announcement or mistakenly issue announcement based on these approvals. 
Operator: Your next question comes from the line of Joe Greff from JPMorgan. 
Joseph Greff: Most of my questions have been asked and answered. Just wanted to get a sense of how you're maybe viewing City of Dreams with the additions of 3 new junkets there in terms of how that might change the mix between non-VIP and mass -- or between non-VIP and VIP? 
Ying Tat Chan: Joe, it's Ted. In terms of the 3 new junket operator operating, we had about -- totally about 23 tables for these 3 new junket operator, which means about 10% more on the VIP tables allocated in VIP in COD compared to last quarter last year. And in terms of the number of tables in mass, we remain similar number of tables, which is about 230, 229 [ph]. So basically, if you look out the revenue on growth, we should look at a fast growth in the second quarter in terms of VIP. But in terms of EBITDA margin and also absolute EBITDA percentage, I think our newly added Signature Club in terms the high end of the premium mass will contribute in the second quarter as well. So we remain with our expectation on the existing ratio. 
Operator: Your next question comes from the line of Shaun Kelley from Bank of America. 
Shaun Kelley: I just wanted to ask a little bit more about premium mass. You've been very successful in, obviously, your initiatives there. But I was wondering if you could just give us a little bit more granularity on the hold percentage. And we've seen this tick up at a variety of other operators as they've kind of changed their mix towards premium mass. But could you give us a sense in terms of what you're doing? Is it the type of customer that you're seeing? Is it the average level of play? What exactly is driving mathematically that higher hold ratio that you're comfortable with now? 
Ying Tat Chan: Shaun, it's Ted. I think basically it's more efficiently run casino floor. The average best improved every quarter and also the service level as well as the room process alignment, as well as the non-gaming alignment to the right customer. That means that will contribute to the length of stay of the same customer, if you have, and then also increasing the number of customer in that segment. I think that's the focus that we've been doing in the last 4, 5 quarters. So continue aligned with the room products as well as the reallocation of the right tables to right area. Then we will contribute -- that will contribute to a further length of stay in this property, as well as more aggressive in terms of our pricing strategy on those tables will improve our average bet on those customers. So I guess combining all the efforts that we see a lot of improvement in that area, and we continue to do so. 
Shaun Kelley: That's helpful, Ted. And then just one on the margins for the property for City of Dreams overall. As you guys have continued to increase your mix towards mass there, I think you said you were up to 75% in the prepared remarks. Just theoretically, how do you think about the margin potential at that property? Is 30% achievable? I think The Venetian obviously sets the standard, but they have a much higher mix of retail. That's very high-margin in that. So could you just give us a sense, obviously not guidance, but strategically kind of what think you think could be possible in that property over the medium or long term? That will be helpful. 
Geoffrey Davis: Shaun, it's Geoff. I think that 30% is not out of reach for us. I won't add a time line for that. But given the growth trajectory of the various segments in Macau right now favoring mass and our ability to take share and our success in that segment might suggest that we will continue to mix shift towards more mass, which should result in a higher blended margin at City of Dreams. And I think something in that ballpark over time is something we can definitely shoot for. 
Operator: Our next question comes from the line of Charlene Liu from Nomura. 
Charlene Liu: I would like to know the EBITDA on a luck-adjusted basis. Geoff, can you help me on that one, please? 
Geoffrey Davis: Sure. Luck adjusted at 2.85% was $210 million U.S. 
Charlene Liu: Okay. That's helpful. And then second question on Macau Studio City. Is it correct to assume that the project would have to restart at the end of the quarter, contingent upon government approval? So we do need sort of like a formal announcement before the project could be restarted. Is that a correct assumption to make? 
Yau Ho: Charlene, this is Lawrence. As we said, when we -- I think when we get the construction permit to restart, we'll probably restart first and then organize some sort of event and announcement afterwards. 
Operator: Our next question comes from the line of Bill Lerner from Union Gaming. 
William Lerner: Luxury high-rise residential demand in pricing in Macau has been very strong, obviously, like La Scala or One Oasis recently. When you overlay that with what you're talking about in showing with your balance sheet, I suspect you want to revisit this at City of Dreams. I guess the question is, if at all, how is the strata title dialogue with government these days? 
Yau Ho: Bill, it's Lawrence here. I think, as a company, Melco Crown, even probably 2, 3 years ago, you have given up on the strata title initiative because at the end of the day, again, we're very respectful of the government’s wishes. And we also understand that -- the land in Cotai and their view and the public pressure that they're under if we were to go the strata title route. So in any case, the gaming business is so good that we do need the additional developments. So I think we've -- even 3 years ago, we've decided that this would be a hotel tower. 
Operator: Your next question comes from the line of Simon Cheung from Goldman Sachs. 
Simon Cheung: I have 3 quick questions. One, you mentioned that you have 23 of VIP tables in 3 new VIP rooms. Can you help to quantify how much of rolling turnover that would bring in? Because I suppose some 15, 20 rooms is going to be a bit of shifting over from Altira. That's the first question. I have 2 follow-up. 
Ying Tat Chan: Simon, it's Ted. Yes, we added 23 tables in COD. I can't really disclose the individual performance on this non-junket operator, but these are the -- one of the biggest junket operating time. I'm sure some of you may know it. But in terms of the improvement in the rolling chip volume with this 23 tables, for sure, is better, much, much better than the Altira one. To give you some color, I think we are talking about 30% more in terms of individual table profitability compared COD to Altira. So that might be the benchmark. 
Simon Cheung: All right, okay, okay. That's helpful. The second question is to the extent that -- again, on Macau Studio City, to the extent that you can perhaps share with us, on the gaming facilities side, how many table, as well as slot capacity are you planning to add on? And also, can we confirm the number of hotel rooms that are going to be added in the Studio City? 
Yau Ho: Simon, it's Lawrence here. I think in terms of the number of tables, on that front, I think we are in the same boat as our competitors that I think the government will approve those after the table cap is untroved, which is at the end of March 2013, whenever those projects open. But again, I think they will award those based on the type of investments and what we're adding into Macau and the non-gaming aspects and how we're helping Macau diversify. So again, I think we've gotten the necessary charts. It's similar to our competitors in terms of restarting. So we look forward to working with the government on that front. And I'm sorry, I missed the second part of your question. 
Geoffrey Davis: It was the number of hotel rooms at Studio City. 1,600 in Phase 1. 
Simon Cheung: 1,600. Great. Okay. The last one is actually a similar question. On the hotel tower, can you remind us the CapEx, as well as the number of hotel room that you're planning to push out into the market? 
Yau Ho: Well, I think, Simon, on Phase 3, we are -- as I said earlier on, we are going through the detail but conceptual design. So we will finalize. It is a big project. It is 1.5 million square feet in total GFA. We are looking at the budget right now. So I think -- I don't want to get really -- kind of guide you to a number that we're not 100% confident on similar to -- unlike Studio City where it's a number that has gone through multiple innovations with quantity surveyors and contractors. So I think perhaps the next call or even the call after that, we would provide more color. 
Operator: Ladies and gentlemen, we have now come to the end of our question-and-answer session. I would now like to turn the call back to Geoffrey Davis for closing remarks. Please go ahead. 
Geoffrey Davis: Great. Well, thanks, everyone, for joining us today. And we look forward to getting back to you with the next quarter. 
Operator: Thank you, everyone, for joining today's conference call. You may all disconnect.